Operator: Good day, ladies and gentlemen, and welcome to the Naspers and Prosus 2020 Results. All participants will be in listen-only mode. [Operator Instructions] Please note that this call is being recorded. I'd now like to hand the conference to Eoin Ryan. Please go ahead.
Eoin Ryan: Thanks, Irene, and hello, everyone, and welcome to the Full Year 2020 Results Call for Prosus and Naspers. On the call with me today, we have our CEO, Bob van Dijk; our CFO, Basil Sgourdos, who will walk you through the operational and financial progress we made during the year, and then we'll open the call for questions. And for that section of the call, we'll have the broader team, including Martin, Larry and Laurent, our COOs at Classifieds, Food Delivery and Payments. As you know, Prosus is a subsidiary of Naspers, and its financial results almost completely account for Naspers' results. So to ensure that shareholders of Prosus and Naspers are provided with the information simultaneously, we're having this one results call. So with that, I will turn it over. So Bob?
Bob van Dijk: Yes. Thanks, Eoin, and thanks, everyone, for joining the call today. So on this call, we will cover Prosus mainly as it represents the lion's share of Naspers, too. But of course, if there are any specific questions on our South African assets, we would be very happy to take them as well. So as the world begins to re-emerge slowly from lockdown, we remain in a period of greater uncertainty and change. And I wanted to start this call with my best wishes to you, wherever you are in the world, and I hope that you and your loved ones are keeping safe and healthy. On the call we had in April, we took you through the impacts of COVID-19 on the business and our response to it. And we will spend additional time on that today. But first, I thought it would be helpful for Basil and I to take you through the financial and operational progress for the full year 2020, and ultimately, that will serve us as the basis for the group's longer-term growth trajectory once we emerge fully from the pandemic. So let's start there. Financial year 2020 was a truly transformational year for the group in many respects and one which sets the company on the path to making a real difference for our partners, for our customers, for our employees and for the communities that we serve. And it's a path which I believe will generate significant value for shareholders going forward. So let's turn to Slide 4, and I will walk you through the highlights. So Prosus ended its inaugural year in a position of significant strength with accelerating revenue in our e-commerce portfolio, improved profitability and substantial net cash position, which provide us with ample liquidity. Now this is an enviable position during normal times, but it's really a differential one in today's climate, and I'm confident that it will serve us well. So underpinning the results, Tencent continued to grow strongly, and we remain very excited about Tencent's future potential. Beneath the financial figures, there is actually also significant strategic progress across our core segments. And as economic lights begin to switch on again across the globe, it is increasingly clear that the impact of the lockdowns will be profound and will be long lasting. And every day, we see data that consumers are increasing their usage, and they're increasing their activity and their spending online. And that change is structural. And as a business that is 100% online, we expect Prosus to emerge from the crisis in a stronger position. So we can turn to Slide 5. Let's touch briefly on the financial and strategic highlights, which Basil will discuss in more detail. So overall, revenue grew 23%, with our e-commerce revenue accelerating to 33% year-on-year. Trading profit and core headline earnings grew 16% and 13% respectively, despite the fact that we stepped up our investment in food delivery. We saw really strong execution across our three core segments. So classifieds delivered excellent results, particularly strong results from Russia, from Europe and Brazil. And in food delivery, we're starting to see very strong results from the significant increase in investments that we've made over the last year. So iFood, Swiggy and Delivery Hero all grew very strongly. And in total, the number of food orders increased 102% and GMV by 76% year-over-year from an already high base. In payments and fintech, transaction volumes increased 29% to $37 billion. More than half of that comes from India, which continue to gain momentum. So at the group level, we took perhaps the largest structural step in the company's history by successfully listing Prosus in Amsterdam in September. We're at the beginning of our journey in Europe. Prosus is increasingly on the radar of a larger and deeper pool of international investors. And based on current data, Prosus has good prospects of joining the EURO STOXX 50 Index in September this year. We will stay focused on creating and unlocking more value for our investors by building more valuable businesses, but also by taking sensible financial and structural steps where possible. And I can assure you that the team is hard at work there, too. While the world has become increasingly volatile, we actually have a lot of confidence in our operating structure, which has been tested through recessions and many periods of turmoil. On Slide 6, we set out the group's long-term strategy and priorities, and I am more convinced than ever that our approach is a real differentiator. So we are very active participants in our investments, and we have become increasingly close to our partners through the crisis, making sure they have our support. And being both an operator and investor helps us to prioritize and share best practice at a very concrete level. We always take a long-term view. As many peers are cutting costs to the bone, our focus is on building sustainable leadership positions, which is key to reaching profitability on a sustainable basis. We continue to be disciplined in our capital allocation, and we've walked away from high profitable transactions where it was the right thing to do. And finally, we have a responsibility to all stakeholders. This has been at the heart of our response to COVID. Looking forward, our core objectives are unchanged. And longer-term, I believe, strong underlying market dynamics underpin our structural growth. So in 2020, we made progress in driving our core segments to profitability while outgrowing the market. We build out integrated ecosystems, such as transactions in classifieds and logistics and food. And these can deliver superior consumer value, and they can enhance winning positions and deepen moats around them. And finally, we pursued attractive consolidation deals in our segments. So underlying our strategy is a long record of deploying capital and generating high rates of return. And if you turn to Slide 7, you can see our general philosophy. I thought it was worthwhile to spend some time on it here. So simply put, we look to invest early in quality assets in growth markets where we can make return for our investors far in excess of our cost of capital. This drives our decision-making, and it applies to all investments, big or small. And this strategy has already created enormous value over many years. And if we can continue to do so, it will unlock value over time without a problem. In financial year '20, we invested $1.3 billion in food, classifieds, payments and ventures. And behind that, some were very disciplined and highly selective and structured investment process. And to give you some context, over the course of the year, we considered over 5,000 potential deals, and we executed 54. And this focus and diligence has enabled the group to maintain a low impairment rate of under 10%. And going forward, you should expect us to continue to follow this playbook. So moving to our operating segments. Slide 8 sets out the key highlights for the classifieds segment, which had its formative year in 2020. So OLX grew revenue 37% year-over-year organically, which is about 3 times the pace of the industry. We continue to expand OLX's ecosystem to get even closer to our industry partners and end consumers as the business develops into a highly profitable global market leader. In financial year '20, we held leading positions in all 22 of OLX's largest markets with over 300 million active users per month, making it a leading classified group globally by usage. Pre-COVID-19 and before all the volatility began, a strong engagement growth monetization that enabled 22% average monthly paying listers growth. Of course, the onset of the pandemic negatively impacted the business, but we are now seeing real signs of improvement. In the year, the team executed three strategically important deals. So in Brazil, you would have seen, we announced $650 million deal to buy Grupo ZAP, which is the leading vertical online property classified site. And this will accelerate innovation and enhance user experience in a key vertical with real estate for us. We merged letgo with OfferUp in the U.S., and we ended up with a 40% stake in the combined entity, which is now a truly national, well-capitalized business which is ready to compete. And in May, we injected Dubizzle and our Middle Eastern assets into EMPG for a 39% stake, and we're also participating in $150 million financing round valuing the group at over $1 billion. And furthermore, we are building our ecosystem by offering fully integrated transactions with pay-and-ship features. We also help with the valuation of an item. We help with offline inspections, instant cash offers and much more. In December, we moved to majority ownership of Frontier Car Group for $320 million, which will accelerate what we want to do on the transaction side of the business. So looking forward, we are well placed to grow our footprint organically, but we are also constantly screening the market for potential acquisitions. If we move to food. So food is a massive opportunity for us. In terms of growth, our food business led the way in 2020, as we show on Slide 9. So as you know, we've invested heavily and early in this space, particularly in India and Brazil. And I think we're still in the early innings of what this can become. So already, our investment is showing real return. And across our three properties, order and GMV growth have remained very strong in 2020, and that translated to more than 100% growth in revenue year-over-year. And the growth that we see is driven by increased customer loyalty. It's also driven by higher frequency of monthly orders and also by increased restaurant loyalty. And we're experimenting with several exciting growth adjacencies, and some to call out are groceries and convenience deliveries, but also new food supply and restaurant software. And these will further expand the growth profile and improve the ability of the leading food platforms to compete successfully. If we can take you to Slide 10. Financial year 2020 was also an important year of progress for our payment platform, PayU. So payments in emerging markets is a huge opportunity. And it's a data-rich business, and it's core to all e-commerce. In the financial year, PayU grew a total payment volume to $38 billion, which is up 29% year-on-year. And by now, 52% of all transactions come from India, and their volume grew by 32%. And the business in India actually continues to gain market share, and that's driven by gains in share of checkout in the enterprise segment but also across the board by increased conversion and thanks to our Wibmo integration. PayU has also delivered new payment products for small merchants, and the bank has focused on deepening bank relationships and has also gone into new verticals; it's government and bill payments. Laurent and his team's strategy here is to broaden our fintech ecosystem in India and expand into credit by leveraging our strong PSP platform through the smart use of data. In financial year '20, we issued more than 2 million consumer loans every month. In the short-term, the current COVID-19 crisis presents challenges, and we are proceeding with caution and credit, as you would expect. On Slide 11, we turn to our ventures portfolio, where we invested in earlier stage companies that will be the next wave of growth for the group. So everything that we are today, one started small. So we've done this many times before. And once we have sufficient proof points in conviction, there's the potential for a business to graduate to the core segment. We've so far invested about $850 million in our ventures portfolio. In the portfolio, India is a key focus area, and that's because the underlying market drivers represent significant potential. In the last financial year, we invested in Meesho and in ElasticRun. And in the year before, we invested in BYJU'S, and these are all great local immune businesses. Our ad tech investment is by far the largest in the ventures portfolio, and it's clear that the pandemic has had a transformative effect on the space. And we're supporting efforts to use our ad tech assets to provide remote learning for students while schools are closed and also for out-of-office training for businesses. Beyond the pandemic, it's becoming increasingly clear to us that all areas of schooling and professional life can and will be augmented by ad tech. So turning to Slide 12. I would like to touch briefly on the efforts we are making on our sustainability program. Over the last few years, we've made good progress, but there's still more work to do. So as an operator and an investor, we're looking for ways to best align to international framework from a responsible investor perspective and from a business sustainability perspective. We've identified a number of sustainable development goals, which we believe most closely reflect our business materiality, and we'll continue to make sure these are reflected in our strategy. We're a unique company, and there is no off-the-shelf approach that we can follow, and we will make sure to pursue an impactful and a tailored approach for the group. You'll see a lot more in our integrated report that we issued yesterday, which I encourage you to read. We're committed to making ESG central to our strategy and business. Before I turn the call over to Basil, I wanted to touch briefly on our overarching approach to the COVID-19 pandemic, which is outlined on Slide 13, to help you better understand what we're doing, but more importantly, how are we positioning the business to emerge from it. So our main focus continues to be on three things. So first, we prioritized the health and the well-being of our people and the communities in which we operate. And I'm really proud as group CEO that this crisis has brought out the best in people across the Naspers' and Prosus' family, and I want to take this opportunity to thank our employees once again for that. Second, we look to help safeguard customers, partners and businesses. As two main examples in South Africa, we contributed ZAR1.5 billion of aid to support the South African government's response to the COVID-19 crisis. And in April, we committed INR100 crore to the Indian government's response to the crisis. Third, we have the financial flexibility and liquidity to navigate a challenging economic environment. And as you can see from our numbers today, the fundamentals of our business remain very strong, and Prosus is well positioned to weather the storm and also emerge successfully. So with that, I'll stop here, and I'll turn the call over to Basil. So Basil go for it.
Basil Sgourdos: Thank you, Bob. Hello, everyone, and thanks for joining us on the call today. As many of you are new to these calls, so a special welcome to you. And I look forward to speaking with you more into the future. And to those that have supported us over the years, welcome back, and thank you for your continued support. Before I run through the headlines, a few important points to note in assessing our numbers. First, revenue and trading profit are on an economic interest basis, meaning they include a proportional share of results of our associates and joint ventures. Second, we report Tencent, Mail.ru and Delivery Hero and our other associates on a three month lag basis. Third, free cash flow and core headline earnings are consolidated numbers. And finally, I will focus on our organic growth, that is growth in local currency, excluding the impact of M&A. Since Prosus makes up the bulk of Naspers, I will be focusing on Prosus as we report the numbers in this call. So turning now to Slide 15. Overall, the group ended the financial year in a position of significant strength, and I'm very pleased with the progress we have made during the year. Revenue grew 22% year-over-year with an acceleration in our e-commerce portfolio, both on a year-on-year basis and versus the first-half. Of course, this is great to see. So e-commerce growth was 52% year-on-year. Profitability improved by 16%, even as we significantly stepped up our investment in food delivery. This was mainly driven by classifieds and payments in fintech, which remain profitable at the core. We're investing further to expand our ecosystem and roots in both these segments. This bodes well for long-term growth, but is suppressing profits in the near term. Excluding our increased investment in new initiatives in our three core segments, e-commerce trading losses reduced by half at 28% or $78 million. Tencent continued to grow strongly and showed significant resilience in an uncertain macro environment. Our share of Tencent's revenue and trading profit grew 21% and 22%, respectively. Core headline earnings, a measure that reflects after-tax operating performance, increased by 13% year-over-year in local currency, translating into $2.07 per share. Mid-March, many of the markets in which we operate, implemented lockdowns in response to COVID-19. And consequently, we did see some initial effects in the last two weeks of the financial year. However, the full impact of the [indiscernible] reaction will be felt most in the first-half of the new financial year. I will also remind you that we report our associates, Tencent, Mail.ru, Delivery Hero and Swiggy on a three month lag. Therefore, the impact of COVID-19 on these associates have not yet been reflected in the full year '20 results. Finally, full year '20 was another year of improved cash flow from our profitable businesses. We ended the year with a substantial net cash position with sufficient liquidity to fund our growth strategy. So if you turn to Slide 16, you'll see the healthy growth in e-commerce. E-commerce revenue grew strongly, up 33% year-over-year to $4.2 billion. This was ahead of Tencent and most of our global peers. This growth represents a 7 percentage point acceleration from last year. Classifieds grew their revenues 37% year-on-year. Payments and fintech continued its trend of good growth, particularly in India. Food delivery grew 105% as we stepped up investment to capture the increasing market opportunity. Finally, on the right hand side of the slide, you can see we had strong second-half of the year despite COVID-19-related setbacks in March. All segments accelerated growth in the second-half of the year, except for classifieds, where growth for the six months remained stable. Now let's move on to the financial performance of our core segments starting with classifieds on Slide 17. You can see that it's another strong year, growing revenues 37% year-on-year and trading profit $40 million despite the step-up reinvestment to build out our transaction business. So in order to get a better view of the underlying trends, we split the business into core classifieds and transactions as they operate on different revenue and margin models. So let's take a look at core classifieds. Revenue increased 20% to $888 million, and trading profit margin improved a strong 10 percentage points compared to last year. Our large markets in Russia and Europe continue to drive growth, which strengthened the car and real estate verticals. So our leading market positions and operational execution drove significant improved monetization. Avito and OLX in Poland continued to fire on all cylinders, growing revenue by 22% and 21%, with the exceptional trading profit margins of 51% and 58% respectively. This is particularly impressive as both continued to invest in transactions and pay and ship, thus extending their ecosystems. OLX as well grew revenues by 20% year-over-year in a competitive market. As Bob mentioned, in March, we announced the acquisition of Grupo ZAP, which when closed will position us well to compete in the fast-growing Brazilian real estate market. Then finishing off on letgo, where revenue grew 60% year-over-year despite the tough competitive environment in the U.S. The letgo and OfferUp combination will enable the business to better compete and reach breakeven more quickly. The combined letgo and OfferUp entity will be accounted for as an associate in the new financial year. So in the transaction business, you will see that revenue is growing very fast, up 164% year-on-year. Transactions revenue for the full year was $392 million. So 31% of overall classifieds revenue compared to just 12% last year. So these are really strong growth numbers. In India, Latin America and Indonesia, our focus in transactions is on building an end-to-end ecosystem for the purchase and sale of cars. This is centered on the offline capabilities of Frontier Car Group. We'll continue investing to expand our ecosystem by opening more inspection centers and offering more ancillary services, such as finance and insurance to anchor our competitive advantage share. COVID-19 lockdowns in many of our markets had some impact on our classifieds segment in March. We saw a decline in traffic on our marketplaces and many of inspection centers had to close. This continued for a couple of months, but we are now seeing clear signs of improvement as traffic levels rebound to pre-COVID-19 levels in several markets. Revenue and profit recoveries will lag traffic as the price rates we gave to our customers are winding down. So we expect the NIM to shorten that impact on revenue and trading profit in the classified business. So let's turn to food delivery on Slide 18, and you can see that the business is scaling very nicely, driven by strong demand and order growth. We're also seeing signs of improved efficiency in customer acquisition. This is a big positive and has started to come through later in the year. This increase gives me confidence as the CFO and underpins the strong returns to target to our investment in this high potential sector. The segment saw orders increasing 102% and GMV increasing 76% year-on-year. Revenue grew 105% to $761 million. That's a considerable improvement of the first-half growth, which was 69%. Trading losses then increased to $624 million, reflecting the continued investment in growth in our respective businesses. However, encouragingly, the second-half trading loss margins improved by 15 percentage points year-over-year, driven by decreased cost per order. Importantly, this was achieved by still maintaining high levels of order growth. In Brazil, iFood posted revenue growth of 113%, with orders growing 103%. iFood continued to roll out its own delivery model, which now accounts for 30% of total orders. So that's significant progress. Other areas of investment included extending into new cities, adding new restaurants and investing in AI to improve efficiency. In April, we announced the merger of iFood and Delivery Hero in Colombia to build on iFood Zomato in Brazil and expand its operations in Colombia. In India, Swiggy's revenue grew 182% year-over-year driven by its rapid expansion into new cities. And secondly, we invested a further $100 million in Swiggy to support its continued growth. Delivery Hero reported significant segmental revenue growth. Our share of Delivery Hero's revenue increased 85%. This is due to faster delivery times, efficiencies in customer acquisition and increased order frequency, all the result of investments in improving product and technology. We're still in the early days of food delivery, and the sector is evolving rapidly, and we continue to benefit from a very large global footprint in the space. We're getting smarter, and I'm very pleased with the progress we've made in our operations and in driving efficiency. So on Slide 19, you'll see the highlights for the payments and fintech segment. PayU grew revenue 21% year-over-year on the back of 29% growth in total payment value in the payment processing business. In India, the revenue grew even fast at 31% year-over-year, the total payment value growing by 52% year-over-year. India now represents 51% of total payment value. The main drivers here continue to be e-commerce growth with a structural shift to digital payments and our ability to increase conversion rates for enterprise merchants. And that's the key differentiator for PayU in the market. Payments and fintech's trading loss margins increased from 12% last year to 16% this year. PFT profitability was offset by increased investment in our credit offering in India and expanding our geographical footprint. We acquired a controlling stake in Red Dot to expand into Southeast Asia and then in iyzico to solidify our position in Turkey. So all in, a good performance for the year from our payments and fintech segment. Now let's take a deeper look at the profit makeup of our e-commerce portfolio. On Slide 20, we unpack how our profitable businesses increased the contribution to central cash flows. It's important to note that more than half of our e-commerce revenues come from profitable businesses. Consolidated trading profit from these businesses increased 16% year-over-year and resulting in a greater contribution to overall central cash flow. Dividends from the holding country totaled a substantial $682 million. That's up 18% year-on-year. In 2021, these dividends are, of course, expected to drop in the first-half of the year due to COVID-19, but these will recover as it comes through the pandemic. So turning to cash flow on Slide 21. We walk through the ebbs and flows of our free cash. Free cash flow for the year was an outflow of $338 million compared to $102 million outflow in the prior year. This was primarily due to our increased investment in IT of $260 million and transaction related costs associated with the listing of proceeds of $85 million. Working capital was impacted negatively due to the timing effects of merchant cash movements for the food delivery business. And secondly, what we did there is improve our payout ratios and that strengthened our position with the restaurants. Working capital was further impacted by an increased number of shares purchased on the open market for our share-based payment schemes. Dividend income from Tencent increased to $377 million, up 10% year-over-year. We have also received a 2021 dividend in the new financial year, and that was $450 million. If we exclude the one-off transaction costs of $85 million and the increase in the shares purchased for our share schemes of $172 million, the free cash flow outflow amounts to $81 million. Excluding investment in food delivery, we have a free cash inflow of $179 million, reflecting the improved cash generation by classifieds, payments and fintech and etail as well as the increased dividend from Tencent. So turning to Slide 22. You see we have a strong balance sheet with a substantial net cash position and sufficient liquidity. We have cash of just over $8 billion, a net cash position of just over $4.5 billion. We also have an unutilized $2.5 billion revolving credit facility. We have ample financial flexibility to fund our growth ambitions and pursue M&A. In January this year, we successfully priced for $1.25 billion, 10 year bond which has a coupon of 3.68%. This replaced the $1 billion 6% coupon due in July 2020. We have no debt maturing until 2025. Turning now to a review of our returns on Slide 23, which illustrates our strong investment returns despite the impacts of COVID-19 in March. We show you the IRRs both including and excluding Tencent. To remind you, these are calculated and audited using market prices for our listed assets and the average of analyst valuations for our private businesses. You can see that the IRRs remain well ahead of the market and of our cost of capital. However, you can also see that they decreased by 1% to 2% since we reported our interim results for last year. This is a direct consequence of the impact of COVID-19. The figures are locked in at the end of March at the height of the coronavirus market dip. If you update for the subsequent realm, the IRRs are around 1% higher. We are often asked to what sort of IRR we target as we think about capital allocation. It's an important part, so it's worth mentioning a couple of points here. First, our goal is to deliver strong IRRs at scale over a long period of time. This is important as over the last few years, we've invested significantly higher-margin capital that will take a few years to come to fruition. Risk is also a critical component. When we invest early, we need higher returns, and we target returns in excess of 20%. However, as our bigger businesses mature, the risks are, of course, reduced, and we can accept a somewhat lower IRR on more profitable businesses with a proven track record and which are complementary to our segment strategy. Across the group, we have a mix of growth and more mature assets. Getting the risk-reward mix right is something we've spent a good deal of time on. So now let's look at Slide 24, where we outline the change we will be making on how we account for our share appreciation rates. And this will happen only in the new financial year. I want to make sure you understand how we did it as well as the implications, as we treat all our SARs as cash settled from full year '21 onwards. First, as you know, SARs played an integral role in employee compensation, and the purpose is to incentivize the team to create value in the core e-commerce portfolio. Historically, SARs once exercised was settled in Naspers shares. To ensure we were not diluting shareholders, we acquired those shares in the open market. So essentially, that was a share buyback. Now that we have two listed shares, Naspers and Prosus, the settlement of our SARs can become quite complicated. So to keep it simple and to be transparent, we'll be amending the settlement of the SARs piece to be directly enchased rather than using Naspers shares. All features in the schemes remain unchanged back for the settlement. Of course, the cash impact under both methods remains the same. However, from an accounting perspective, the cash settled approach will increase the share-based expense and, therefore, negatively impact trading profit. This only happens, of course, if we're able to continue to build value in our e-commerce portfolio. So before I close, I would like to spend some time on COVID-19 impact and that's laid out on Slide 25. I think we've have covered the key themes already, but it's good to reiterate these. First, it's increasingly clear that e-commerce will be a longer-term beneficiary of surge [ph] in consumer consumption. Second, our strong and liquid financial position provide us with flexibility to continue growing and investing. Third, we are encouraged by the early indications of stabilization and improvements we see across many of our businesses. And finally, the reality is that like our peers, we expect COVID-19 to have a significant impact on the financials in full year '21. This will be more prominent in the first-half of the year, where revenues will be more impacted than profitability and free cash flow. So let's move into what we're seeing across our segments. As a general point, in countries and regions where the lockdown regulations have been more flexible, predominantly Europe and Latin America, our payments, food and etail businesses remain buoyant and will actually run strongly. In classifieds, as we mentioned earlier in the year, we saw an approximate 30% fall in average traffic volumes across our verticals compared to pre-COVID-19 levels. Of late, we are encouraged to see a pickup in traffic volumes and KPIs in our main markets. Activity levels are generally at or above the pre-COVID levels. Back in March, as was the case with many of our guests, we've decided to support our partners with initiatives like extended listing durations and discounted or free listing fees. This was the right thing to do. For the most part, with a few exceptions, pricing is now returning back to pre-COVID levels. Therefore, the revenue recovery lags the KPI recovery. In the medium-term, classifieds typically perform as well during periods of economic stress. With the actions we are taking and encouraging trends we're seeing, we remain confident that our business will continue to do well over the long-term. In food delivery, in areas where our food platforms have been able to operate, like in Brazil, growth has been strong, and customer acquisition costs are naturally falling. We are, however, investing meaningfully to support restaurants and delivery partners during these difficult times. In India, Swiggy continues to be mainly impacted by the lockdown restrictions. There are signs of a bottoming and improvement, but there is still some way to go. A full recovery will require an improvement in the COVID-19 pandemic outlook and return of migrant workers to the big cities so that restaurant supply can continue to increase. Meanwhile, Swiggy has done a very good job building out a broader ecosystem and adding new categories like grocery and daily delivery, which are less impacted by the lockdown, and every city is gaining meaningful traction. This represents a broad opportunity for food delivery business in many of our markets. In payments, while the initial impact in India was meaningful, activity levels have recovered quickly to pre-COVID-19 levels, shown by strong growth in e-commerce and a shift to digital payments. Europe and Latin America continued to grow strongly throughout the pandemic, given the large deal in e-commerce solutions. In etail, eMAG is performing well with accelerated growth as e-commerce drives in its key markets in Romania and Hungary. Takealot was initially meaningfully negatively impacted by the early phases of the lockdown in South Africa, but it's now growing strongly again as restrictions have been eased. And finally, in our ventures portfolio, as Bob pointed out, we are seeing significant growth in fintech. We are very glad to have been very early investors there, and we'll continue to look for ways to increase our exposure to this space. So overall, the short-term picture is mixed, the trends are improving, and the business is that the underlying activity has picked up with trends very much in our favor for the long-term. So I hope you find that update helpful, and I'm going to now hand back to Bob to close this off.
Bob van Dijk: Yes. Thanks, Basil. And before we head to questions, I would like to summarize our key priorities to navigate the uncertain times we're in, which you can see on Slide 27. So first, the fundamentals of the group are strong, and we ended the year with real momentum. And the second point is around our focus on the long-term. We believe our business will benefit from a further acceleration of trends towards increased online commerce. And third, throughout the pandemic, we intend to continue to invest in our businesses to position them well for future growth. And finally, we will always stay disciplined in allocating capital. So you should expect us to continue investing in high-quality assets that are operating growth industries with an expected return in excess of our cost of capital. And finally, we faced a challenging period from a position that we see as one of financial strength. We can navigate the changing environment, and at the same time, find new opportunities. So with that, I want to thank you for your time, and let's open up the lines for questions. So if the operator could help us with that, I would be grateful.
Operator: [Operator Instructions] Our first question is from Cesar Tiron of Bank of America.
Cesar Tiron: Hi everyone, thanks for the call and thanks for the opportunity to ask questions. And congrats on the numbers. I have two questions, one on food delivery, and the second one on classifieds. So on food delivery, quite encouraging to see revenue growth ahead of GMV growth. Is that mainly driven by a reduction in subsidies? Or is it also an increase in the take rate? Do you think it's sustainable? And overall, is it fair to think that losses have peaked in this cluster? There are any material changes in competition? Second question on classifieds. Just wanted to dig a little bit into the transaction business. Can you please discuss how much investment do you think business requires over how many years? And whether you think this business can breakeven at some point?
Bob van Dijk: Yes. Thanks, Cesar, for those two questions. And maybe I'll give a start of the answer on the food question and then leave it to Larry to elaborate a little bit. Then I'll ask Martin to speak to the transaction business afterwards. So I think the short answer on why we've seen revenue grow faster than GMV is twofold. Indeed, it is reduced subsidies in most of our markets. Actually, I think in just about every market we're in. At the same time, there's also been a shift towards more 1P in the mix, which also makes revenue grow faster than GMV. But maybe, Larry, you can elaborate on that a bit if you're still with us.
Larry Illg: Can you hear me? Can you hear me?
Bob van Dijk: Yes, go ahead.
Larry Illg: I think -- yes, I think you touched on it, Bob. I think the primary driver is going to be a mix effect as the market shifts to 1P from 3P. And then there's also some country mix effects in there across the portfolio, but that's going to be the primary driver and then also the management of subsidies that you flagged.
Bob van Dijk: Thanks, Larry. And then Martin, would you mind addressing Cesar's question on payment and transactions?
Martin Scheepbouwer: Yes, absolutely. So Cesar, thank you for the question. So I mean, transaction business is a bit of an umbrella. It's an umbrella aimed for many different activities where we facilitate and actually part of the transaction. Where Bob and Basil mentioned in the numbers, they mainly referred to the cars part of the transaction business, where we buy cars that we hold for a short while before we sell it again. And that's indeed, at this point, in an investment cycle to scale the business by opening up new inspection centers and investing in marketing to get customers to use them. What makes us very enthusiastic about this investment is that, a, there's clear customer demand for it, especially in growth markets. Buying and selling cars comes with a lot of difficulties that we can solve on the spot, and people are happy to pay for that. And secondly, there's important synergies with the OLX business, where we have both sourcing and in distributing cars. And thirdly, we've been active for a somewhat longer period of time that even on the, let's say, the flipping the car or the trade margin we can make in the double digits, which is before we add adjacent products like financing or insurance. So we fully believe that this is a business worth investing into. And that longer-term, it will drive significant cash flows off of on, let's say, large revenues and somewhat lower profitability than in the core classified business, but nonetheless, an important activity and instruments monetize in growth markets.
Cesar Tiron: Thank you, that was very clear. And if I can just ask just on the food delivery. I know you guys don't really give guidance, but is it fair to conceptually think that the bulk of the investment in food delivery is behind, assuming no deterioration of competition?
Bob van Dijk: Yes. Cesar, it's hard to answer that question, right? Because I think, indeed, we believe we don't give guidance. And I think it's unclear. I mean we could see further opportunity in food delivery that would lead to that picture to change. But I think it is fair to say that we've seen a significant investment cycle, and we're seeing the results of those come through. So I think that is something that we can say. But the opportunity is very large. And I think we can't say too much about what it will look like.
Operator: Next question is from Lisa Yang of Goldman Sachs.
Lisa Yang: Good afternoon. I have three questions, please. The first one is on the margin incentives. I think in the remuneration report you put out today, the first time, I see the incentives are now being directly linked to the holdco discounting, I think, at both, at the STI and LTI level. Could you give us a bit more color in terms of how that works? How much of that is based on the Prosus discount or Naspers discount and Naspers discount versus Prosus? And do you guys have a target and is discount in mind? That was the first question. The second one is on M&A. I'm just wondering if you can share your latest bolt-on, the global consolidation opportunities in Classifieds. And marginally speaking, what do you think Prosus could bring to the table if there were to be a deal? And could you also remind us of where do you think the synergies will come from? Is that from the existing platform? Or more from the future opportunity to invest in sort of new business models? And last question is on Classifieds. Clearly, the margin continues to improve, which is great to see. But I noticed that Avito and OLX, Poland margin both went down. So clearly margin improvement is coming from all the assets within core classifieds. Could you maybe talk about the moving parts there? And what happened in Russia and Poland? Again, I know you don't give guidance, but it will be helpful to understand how you think about just in general, the level of investments in those markets and the impact of margin going forward?
Bob van Dijk: Lisa, I think I got your first question, and I'll give a brief answer to it. And maybe I'll ask Aileen, our Chief People Officer, to comment further if necessary. And I'll ask Martin to cover the question around margins in Eastern Europe. But I didn't fully get your second question. Would you mind repeating that?
Lisa Yang: Yes. The second question is more on your thoughts on global consolidation in classified. What do you think process could bring to the table if you were to be involved in a deal? And what in general are the synergies that you see in basically in global consolidation in classifieds?
Bob van Dijk: Okay. Yes. Got it. So I think Martin is probably best placed to answer that question as well, and I can chime in as well. So let me start on the dependence of the short-term incentive and long-term incentive on the discount. So there's a few components to that. There's one direct component in Basil's objectives that you may have seen in the results. But I think the more important one is around the value creation in e-commerce where the executive directors have a meaningful part of the long-term incentive in SARs in the e-commerce scheme. So if value gets created in that part of the business, that results in an alignment with shareholders. And if that value of that part of the business will grow that should have a positive impact on the discount as well. Aileen, anything to add on that point? Or did I capture it well?
Aileen O'Toole: Hi, Bob. Thanks, it's Aileen here, Lisa. Thanks for the question. As we talked about before, the long-term incentives are indeed an indirect incentive on closing the discount, and the things that the management team can control are bringing the e-commerce assets to scale and profitability, it is the best way to do that. And that's incentivized through the SARs that Bob mentioned but also through the performance share units, which is a relative measure of how e-commerce performs against peer companies. So both of those are included and are the same as last year in terms of structure. What you see is new, as Bob mentioned, is the short-term incentive element for the CFO that's specifically around proposing solutions to the Board in terms of closing the discount. And that's something that you've seen the management team work on over previous years as well. It just didn't appear in the STIs explicitly.
Bob van Dijk: Thanks, Aileen. That was very helpful. And Martin, would you mind getting us started on the question around what we bring in a potential global consolidation in classifieds?
Martin Scheepbouwer: Yes. And I'll also answer the question on margins in Russia and Poland while I am at it. Yes, so I mean, it's important to understand that our classifieds portfolio has been built from the ground up. That's what I and my team have spent the vast majority of our time on over the last five to eight years. And we consider ourselves to be the global leader in the space of many different dimensions, growing the fastest as per Basil's presentation and also sustainably profitable now. So our returns have been excellent and our track record speaks to itself. And with regards to consolidation, the answer is always the same. We do not respond to speculation or specific deals, but I can give you some insight on how we think about M&A and capital allocation in general and specifically on larger deals. So pure size is not a driving factor. It's about returns, and we have a long history of being disciplined about returns. And our overarching strategy and our intent is to build global market leading platforms that leverage scale to drive innovation in a world of increasing customer expectations, driven by excellent products from Silicon Valley and China alike. And again, so the main lever here is organic. And if we apply M&A, we only do so, we believe we can accelerate the strategy. And if there are any sort of tangible deals, we will obviously get back to you as soon as we've done with the deals that Bob covered in his prelude around Sellfie in Brazil, EMPG from Pakistan and OfferUp in the U.S. That's where we are on consolidation. On margins in Russia and Poland, I think you're right to point out that they have come down slightly and that was very deliberate. To a degree, profitability in strong platforms like Avito and Poland is a choice whether to invest or not, we decided to invest into continuous improvement to business model, especially around pay and ship solutions, that were significant demand during the lockdown period. So we strengthened our market share and solidified our position in end-to-end delivery especially around goods in both Poland and Russia. It comes on top of typical seasonality in the second-half, and we usually spend more in marketing in the first half. And then there was a small effect of the COVID crisis, which wiped out some of the revenues in the second half of March.
Lisa Yang: Can I just confirm one thing? Can I just come back to the first question? Can you just confirm whether the direct component to closing the discount in the STI, is that closing a discount at the Naspers level or Prosus level or both? And what's the split?
Bob van Dijk: Sorry, Lisa, I couldn't quite -- I couldn't follow. Could you say that again?
Lisa Yang: Sorry. Yes. So just related to the STI element, which is now directly linked to closing the discount. So when you talk about closing discount, is it related to closing the Naspers discount or Prosus discount or both? And can you tell what's the split between the two?
Bob van Dijk: No. So I think if I remember well, and Aileen, again correct me if I'm wrong, this refers to the previous financial year. And it's about actions taken to reduce the discount. And at the time, that was, I think, primarily referring to Naspers. I think going forward, what is clear to us is that we actually want to ensure that the discount at both levels is as low as possible. So both matter, and there's no specific weighting for it.
Operator: Our next question is from Ravi Jain of HSBC.
Ravi Jain: Hi, thank you so much for taking the time. A couple of quick ones from my end. First one is more on the capital allocation. You obviously have $8 billion in the balance sheet. You mentioned your thoughts around it. But when you look around the world, the food delivery space is quickly consolidating, at least in the bigger markets, and you're already the classified leader in a lot of markets that you operate in. As you look to kind of deploy this money over the next three, five years, how should we think about what business verticals look attractive to you, what geographies look attractive to you? I mean, three, five years from now, where do you think a big chunk of this money would be invested if you were to think of it today when you look at all the opportunities that come to you? The second one is more on food delivery business. Especially, of course, Swiggy right now. It's taking a longer time for the business to come back to the pre-COVID level. I know you mentioned about them getting into groceries and dairy. What else do you think of food delivery business like Swiggy can do maybe in the short term or maybe even in the long term? Do you think of adding to the cloud kitchen investments? I know you kind of pulled back a little bit of it, but does it make sense now to kind of go a little bit more aggressive? Do you think there is more space in the B2B supply chain of restaurants? Just some thoughts on where this business -- how can you transition this into an even stronger business in a post-COVID world? That will help.
Bob van Dijk: Yes. Thanks for the questions. And maybe I'll answer the first one and I can get started on the second, and then I'll ask Larry to give a bit more color. So I think when it comes to capital allocation, indeed, we have capital to allocate, the most important thing for us is around value creation, right? So we have the strategy of further shoring up our core vertical. So what I can say is that the vast majority of our available capital will go into our core verticals and not into something new that will be quite unlikely. And within that, first of all, we can't really make statements around future M&A because that typically depends on things that are not fully within our control, and therefore, it's not very wise to do. But again, like, we look for opportunities where there is substantial value creation opportunity, where there's real synergy with our current portfolio and where we are sure we can deliver returns that are well in excess of our cost of capital. And where that exactly will be, that remains to be seen, but it will be in our core verticals, I think that is something you can count on. When it comes to Swiggy, I think Swiggy is doing a number of very interesting things. And indeed as you say, the lockdown in India has obviously been very severe, and supply chains have been disrupted because of some of the things that Basil also talked about. But there's been some really interesting developments particularly in grocery delivery. Grocery is obviously the segment that gets a huge demand surge in a situation like COVID. And actually, if you have studied the Chinese numbers, they are particularly impressive. Our grocery has actually -- grocery delivery has taken a tremendous flight as a result of the crisis. And the dairy is another area. But maybe, Larry, there are other things you would want to comment on?
Larry Illg: Yes. Kind of getting to the root of the question you asked sort of around profitability. And I think even in a pre-COVID environment, the Swiggy team was focused on cost-saving measures, including marketing spend, with the objective of deploying it in some of the areas that Bob mentioned. And then to step back, the company has phenomenal amount of consumer and restaurant partner relationships. They have a delivery fleet, massive delivery fleet. All of those pieces are highly leverageable. And where they're deploying that cost savings as well as those assets are in areas and Bob flagged is really grocery right now with COVID as a tailwind. And it's grocery in a couple of different flavors, ranging from what you might consider the milkman, traditional milkman type model, to a convenient store model, to a more traditional grocery type model. And that grocery space is seeing a generational tailwind right now, and Swiggy has the infrastructure that it can bring to bear to address the consumer opportunity. So it's a combination of cost savings and investment in high-growth adjacencies that are leading to what we expect will lead to greater scale and profitability improvements.
Operator: Our next question is from Miriam Adisa of Morgan Stanley.
Miriam Adisa: Good afternoon, everyone. Three questions from me. Firstly, just another follow-up on capital allocation and the current M&A environment. You mentioned Bob about having, about 5,000 deals that you're looking at. Just wondering if there's been anything that's prevented you from deploying more capital? If you could just comment on what you think the current environment is like in terms of valuation and also the quality of assets that are out there. And then secondly, on food delivery, could you talk a bit about how COVID has impacted on customer acquisition costs? If that come down materially in Brazil? And then also anything around the changes in cohort behavior around retention and order frequency? And then finally, just on the investment priorities. Do you think that your investment priorities have changed since COVID and any of your key verticals, both in terms of where you're willing to allocate budget but then also the absolute amount you're willing to spend, thinking of something like eMAG, where you've seen an acceleration? Does that mean we may see a bit more investment going into that business?
Bob van Dijk: Yes. Thanks a lot for those questions. I will answer the first one and the third one. And I'll ask Larry to cover a couple of questions around acquisition costs and cohort retention, et cetera, for the food business. I would say in terms of sort of the way we look at strategic investments and the availability of targets, I don't think a lot has changed really as a result of COVID. I think we still look at things with the perspective of generating a long-term return. I think there was definitely initially some uncertainty around valuations. But I would say a lot of the assets we look at have sort of fairly stabilized in terms of where they're priced at and the quality. I think there's always a variety of what ends up on your plate. So I wouldn't say anything has structurally changed, right? And if you look at our investment horizon is for the long-term, I'd say, we think ahead often for many years. So it actually also shouldn't change as the result of a short-term shock. So I hope that answered your question. But I would say generally, our sort of approach to capital allocation remains very long-term, very deliberate, very selective, and it needs to strategically work as well as generate a good return, and that hasn't changed. To your third question around investment priorities, I would say, actually, the example you mentioned, eMAG, is a good one, where I think there's a lot of momentum in that business. And we most certainly want to make sure that we don't starve businesses of investment when there is momentum in the business, and that's something we, I think, have done across the board in our business, right? If we see opportunity and momentum, we'll be the last to hold back our leaders and our entrepreneurs and we will gladly provide them with the opportunity to build on that momentum. Maybe Larry, you can comment on the food question?
Larry Illg: Yes. So kind of a two pieces of it. So the COVID impact on CAC, obviously, a big factor in that is whether the markets are open and considered as necessary service as they are in Brazil. And in Brazil, you have seen a pretty significant tailwind as a result of COVID, specific to your question on CAC. In Brazil and in many other markets, we've been able to take consumer marketing down dramatically. People are just finding these services organically, frankly, out of necessity. So the binding constraint, if you think about the different size of the marketplace, it's absolutely not on the demand side but really on restaurant supply and driver supply. CAC has come down. And then to the last part of your question on cohort behavior, we're seeing improvement in the cohorts on pretty much every relevant dimension. So users are more sticky. We are seeing basket size increase with a greater focus on family ordering versus more à la carte behavior that we would see in a pre-COVID environment. And then we're seeing in many markets, including Brazil, we're seeing a slightly higher AOV with the skew away from lunchtime behavior and even more dinner behavior.
Bob van Dijk: No more questions?
Eoin Ryan: Irene, we'll take the next question please?
Operator: Next question is from Will Packer of Exane.
Will Packer: It's Will Packer from Exane BNP Paribas. Firstly, could you give a bit more detail on the discounts activity in your key classified markets, Poland, Russia, Brazil? You talked about winding down. How long did they last or how will they last? And is the reduction of those discounts sustainable if COVID deteriorates as it looks possible in some of those markets? And then just in terms of the generalist portion of your classified business, how does that bounce back? Secondly, I'll be just interested to hear a bit more on the synergies between Frontier Car Group and the classified business. Which geographies are you focused on? What kind of upside you're seeing? Is it guaranteed part exchange, a bit more color there? And then just finally on M&A. With a lot of speculation of big deals, if we put that to one side, you've done some really interesting deals in classifieds, consolidating in market. Is there a pipeline ahead of similar deals? Or have you done the key ones so far?
Bob van Dijk: Well, thanks for the questions. I'll do Martin the favor of answering the last one, and then I'll ask him to answer to the discounting question and the FCG question. I think fundamentally, we don't speculate about forward-looking M&A so that, we're not going to do here either. I think the reality is that looking at smart consolidation, deals that fit into extensions, particularly in our vertical space, for example, or places where we can create strength, like letgo, OfferUp fits in that mold, EMPG fits in that mold, Grupo ZAP fits in that mold. That's something, we look for those type of transactions always across the world. And not just in classifieds, but we do the same in other markets, right. If you look in fintech, we've done Wibmo, we've done Red Dot, we've done EasyCall. They all fit in a highly synergetic, value-creating deals that may not have been huge, but actually, in aggregate, will create tremendous amount of value. So we always look for those, and that's certainly not over. Maybe, Martin, if you wouldn't mind addressing the first two questions.
Martin Scheepbouwer: Sure. Yes. No. So thank you, Will, for the question. So let me answer the discount one in the context of what we saw in the business following the COVID crisis. So as Bob and Basil mentioned in the beginning, the initial impact was significant, globally speaking, and closely related to lockdown. And quite obviously, people are reluctant to meet strangers. They've other priorities. They're stressed and anxieties of postponed large purchases. And many of our paying business customers simply had to close down. And as restrictions were released, key countries recovered quickly, led by the goods category in line with trends in retail, customers sitting at home eager to buy and sell items for the house and personal belongings. So eMAG and Takealot benefited from that, but also the goods part of our horizontal businesses in many countries saw the same phenomenon. So Russia and Europe, they've shown positive year-on-year trade volumes since the end of April already. So initially, there was a downward trend larger in Poland than in Russia but back to year-on-year growth since the end of April. Revenue indeed lags those trends because there were still discounts in place in most of May. And specifically, on discounts, they vary by market and by category type of product. But in some cases, they were significant, which was the right thing to do in order to maintain the content and the relationships. And I think it helped us to, let's say, to increase spend again with these customers when the ease of restrictions permitted that. So we're also back to year-on-year revenue growth again in June. So India, Brazil and U.S., they take longer due to the continued restrictions of movement, as you're well aware. But also there the trend is positive, especially on the demand side. So I'm very, very confident that following the shifts online that Bob talked about, also classified the business will benefit in the medium to long term. But yes, obviously, this is all -- the short-term is uncertain, especially in cities and states with continued lockdown measures. And to your point, like will we apply discounts again in next lockdown phases, that is a real speculation again. I simply have no idea if and when and to what degree and where lockdowns will be applied again. But we have seen, it's a strong instrument to maintain the content and relationships with paying customers. So that instrument we'll use again but only selectively if needed. Then on to FCG. As I mentioned, in one of the previous answers, there's important synergies between the inspecting and buying of cars that FCG does at its core and OLX businesses because one of the impediments for growth in FCG's proper is the customer acquisition costs, which have reduced considerably since we can source potential sellers on OLX. And the same thing with the cost of disposing of cars again which is also much easier if that can be done on the leading horizontal and car site in a country. And yes, we are obviously in fairly early days of integrating these companies. Still see a couple of months, which were interrupted by COVID, that was the part of business that was hit hardest. Our inspection centers had to close simply due to regulation. They have reopened in part, about half are open again but operating in limited capacity in most cases due to inevitable health and safety measures. So it will take a while to fully materialize. But as I mentioned, the customer demand is clearly there, especially for end-to-end customer journeys. I have a car that I want to upgrade, so I first sell and then I buy and then I get all the services around it in terms of buying with trust and with convenience and with financing. I think that's a very, very strong USP where we do trials and experiments, we can pick a very good traction. So that's an area, that's globally speaking, our main organic development area that we'll pursue with vengeance over the next month and quarters.
Will Packer: Martin, just one quick follow-up. Should we assume that FCG or FCG like services for instance can be rolled out in all your major classified markets? Or is it more targeted?
Martin Scheepbouwer: Well, I think the customer demand for this type of service is universal. So where we don't have FCG-like services, such as in Russia. We're looking for ways to get that trust into the transaction. And in Russia, specifically, we have a service called Autoteka, which is a comprehensive car history report that is partly founded on proprietary data from a car dealer network. So nobody else has it, not Auto.ru, nobody else, proprietary data, which serves in a way as a light inspection. So if you buy a car with Autoteka, it's not only physically inspected, but it comes with a much higher level of trust than car without it. And one of the questions I post to team is, hey, can this be complemented with inspector services of sorts, which would also allow us to actually go into purchasing cars ourselves. Sort of something we're studying. Russia is not the easiest market to do this. And good other companies have failed, but that's something we're looking into.
Operator: Our next question is from Catherine O'Neill of Citi.
Catherine O'Neill: Thank you. I just wanted to ask or go back to the comments on etail or eMAG. Given the appetite for e-commerce now positive is of e-commerce and what COVID has done there, could value creation for your e-commerce business be back on the agenda? The other thing I wanted to ask about is I've seen some articles about delivery drivers planning to go on strike tomorrow in Brazil across the different services. Is this something that's happening across the country? And how do we think about the, I guess, tension between the business and delivery drivers in Brazil and perhaps in some other markets? And then finally, just one other question on payments. It seems to have been quite resilient during the whole sort of COVID-19 pandemic. What's the plan for credit lending in terms of how quickly you plan to ramp that up? And how we should think about that impacting profitability?
Bob van Dijk: Yes. Thanks for the questions. I'll definitely answer the first one. I think, Larry, maybe you can give a general answer to the second without going into the Brazil specific situation. And then I'll briefly comment on the -- I think Laurent is on the line. So I'll let Laurent give us a brief answer on that one. So in etail, we see indeed a good momentum driven by extraordinary circumstances. And I think what will happen as a result of it is actually not too unlike what we see in other of our segments, right? So I think you see a desire of customers to do more from their home initially, because they have to, and later because they either gotten used to it or they still prefer not to come outside. And particularly that first effect of people building a new habit in the pandemic is a structural one, right? And I think we're lucky to know quite a lot about China, and it seems indeed that a number of the models that we're in, where food delivery, but also things like ad tech, also online payments actually have accelerated. And etail is a specific case, but I think across the board, you see online models accelerate in a structural way, and I believe that will even last beyond this. So I think we're in the right kind of businesses. And we'll see that structural shift. Maybe, Larry, you want to comment a bit more general on delivery drivers and how we make sure that we treat them as well as we possibly can.
Larry Illg: Yes. Thanks, Bob. And especially in the context of the pandemic, we've done a bunch of initiatives across our companies to make sure that the delivery executives are treated well, ranging from -- in extreme cases, we've created funds for drivers that have been affected by COVID or for high risk groups who can't work. We've offered subsidized health services and life insurance. We created a tipping program for drivers and including bonus on top of the tips that they get. We've given mask and hand sanitizer to drivers and established driver sanitization stations as well as within our product itself, accelerated initiatives towards online payments and contactless delivery. So we've done a lot of things across our portfolio to support drivers.
Bob van Dijk: Thanks, Larry. And Laurent, would you mind giving a very brief answer on what are our view is on credit given the situation we're in, particularly in India?
Laurent Moal: Yes, absolutely. Look, I mean, a lot has been said already about the shift to digital payment online and offline, right, because of the lockdown. And we see this, this is true across the world with double of growth rates, and we had a very sweet recovery actually in India. When it comes to credit, two things. The first one is the type of credit we do is created at the point of sale. In Europe, which just distributes the credit solutions of banking partners, so what it means is basically we don't have increased risk exposure, no problems of profitability there. In India though, what we do is actually provide credits on our balance sheet and also with co-lending agreements. And in that market specifically, what we have done right now is basically just shut down the issuance of new loans to new consumers. And the reason for that is just that at the moment, there is limited visibility into the risk. There is a moratorium on credit in India until the end of August. So for us, before September, it is prudent to look at the existing portfolio, assess the risk when the moratorium will be over and then go back to the market only with the core lender. So this is the plan for the moment.
Catherine O'Neill: Okay. Just quickly wanted to go back to etail, not sure my question for you was clear the way I asked it. I actually just wanted to check whether it's an asset you still don't view as core, and therefore, in the, I guess, short to medium term, you could look at sort of crystallizing the value there and exiting in some way, which I think has been on the cards pre COVID. I just wondered whether that's back on the agenda or still on the agenda.
Bob van Dijk: The question was about eMAG, is that right?
Catherine O'Neill: Yes, yes. And just the plan to crystallize value there and whether that is still on the agenda as it has been sort of pre COVID or appeared to be.
Bob van Dijk: Yes. So I think eMAG is a fantastic business performing well. I think it has a good amount of runway. So there are no active plans for that. I think the business, if we ever would decide to do so, is in a great position. But that's probably what we can say about it. And I think we can do one more question, and then I think we need to close off for today.
Operator: Thank you. Our last question is from Andrew Ross of Barclays.
Andrew Ross: Great. Thanks for squeezing me at the end of the marathon call, your provisions Hong Kong test type [ph] event. I've got two questions if that's okay, the first one is very quick. There's been a lot of speculation here on U.S. Food delivery in the last few weeks. Can I just ask straight out, is the U.S. market, but it's remotely interesting to you guys? Or should we be assuming that you're not interested at all? And then the second question, a bit longer, perhaps, and that is, if there's any update in the long-term ownership of Prosus by Naspers and over the line in the report saying that Naspers is committing to not selling down more Prosus, but it doesn't talk about kind of more distributions and reaching 70%. So it would be helpful to understand if there's any update there.
Bob van Dijk: Great. Larry, would you mind answering the first question? And Basil, do you want to take the second one?
Larry Illg: Yes. Yes. I'm sorry, my line cut off there. Can you repeat the question?
Andrew Ross: Yes. It was just on food delivery and the U.S., obviously, a lot of speculation as to consolidation going on there, and it was basically a simple question about the market, if it is all appealing to you guys? Or should we be assuming that that's not at all of focus?
Larry Illg: Yes. It's a good question. Obviously, a lot of activity in the last few weeks in the U.S. I think we don't really start with geographic strategy per se. This is structurally a very local business, so we assess opportunities on a case-by-case basis. But I think as we've covered with this group before, the U.S. is certainly a highly competitive market and definitely predictable that some consolidation makes sense here. We'll continue to assess opportunities. But it's one of the more hotly contested markets we see around the world.
Basil Sgourdos: And if I can deal with your second question. I think look there's a couple of things to call out. First of all, this sale done that happened was to fulfill an obligation with SARB and it actually created value, too, because we've done a buyback of almost ZAR3.3 million from shareholders. And what we're saying is we are not going to do anything like that going forward. And that primarily by the fact that we don't want to create another hang on process. So we're not going to be selling more shares. We have no plans to sell more shares to the market. That doesn't mean we're not working on thinking about what other structural action we can take to address the discount, and that's been discussed earlier in the call, but we want to do it in a way as Bob outlined, that actually is helpful, both for the Naspers and the Prosus shareholders.
Andrew Ross: That's very helpful. Maybe just a follow-up Basil. Are there any other obligations from the South African Reserve Board that we need to be aware of or is that it?
Basil Sgourdos: In terms of the transaction that we did with the listing is also for all our obligations, right? So that's done. Of course, if you want to do anything else going forward, we would have to engage with SARB and get the relevant approvals depending on what we construct and what we put together.
Operator: Would you like to make any closing comments?
Bob van Dijk: Yes. No, I wanted to thank everybody for joining and what I thought was very, very interesting and engaging questions. And if you have further questions, then please do reach out to Eoin and team. We'll be very pleased to cover anything that we haven't managed to cover today. But thanks, everybody, for joining and for asking great questions.
Operator: Ladies and gentlemen, that concludes this conference call. Thank you for joining us. You may now disconnect your lines.